Stuart Smith: Alright, everybody. Thank you so much for joining us today. I am your host, Stuart Smith. And before this call can begin, I need to read some statements for you that can be found at the bottom of every press release using the ticker symbol for the company, KULR. That’s also the same way you find this information at the Securities and Exchange Commission using the company’s named KULR Technology Group, K-U-L-R. Statements made on this call do not constitute an offer to sell or a solicitation of offers to buy any securities of any entity. This call may contain certain forward-looking statements based on KULR’s current expectations, forecasts, assumptions that involve risks and uncertainties. Forward-looking statements made on this call are based on the information available to the company as of the date hereof. The company’s actual results may differ materially from those stated or implied in such forward-looking statements due to risks and uncertainties associated with KULR’s business, which include the risk factors disclosed in KULR’s Form 10-K filed with the Securities and Exchange Commission on March 22, 2022. Forward-looking statements include statements regarding the company’s expectations, beliefs, intentions or strategies regarding the future and can be identified by forward-looking words such as anticipate, believe, could, estimate, expect, intend, may, should and would or similar words. All forecasts are provided by management on this call are based on the information available at this time and management expects that internal projections and expectations may change over time. In addition, the forecasts are entirely on management’s best estimate of their future financial performance. Given their current contracts, current backlog of opportunities and conversations with new and existing customers about their products and services, KULR assumes no obligation to update the information included on this call, whether as a result of new information, future events or otherwise. Joining me on the call today from the KULR management team will be CEO, Michael Mo; President and COO, Keith Cochran; as well as Chief Financial Officer, Simon Westbrook. After opening comments are completed by the management team of KULR Technology Group, we will be joined on the call by Howard Halpern from Taglich Brothers; Theodore O’Neill from Litchfield Hills Research; and Jake Sekelsky from Alliance Global Partners for their questions. I will turn the call over now to Chief Executive Officer, Michael Mo. Michael, the call is yours.
Michael Mo: Thank you, Stuart. This is Michael Mo. Thank you everybody for joining our call today. KULR’s mission is to develop world-leading energy management platform to accelerate the global transition to a sustainable electrification economy. We provide the hardware and software solutions for renewable energy and advanced mobility applications. We achieve our mission by helping our customers to use less energy, to use energy more efficiently, to make energy consumption safer and cooler, to use less material to achieve these goals and to complete the circuit economy through recycling. The following are Q4 and full year 2022 financial highlights. Our Q4 ‘22 revenue was $1.81 million, an increase of 137% over Q4 of 2021. Gross margin was 92% in Q4 ‘22 compared to 70% in Q4 ‘21. Revenue for 2022 full year was $3.99 million, an increase of 66% from 2021. Gross margin for 2022 was 59% compared to 54% in 2021. The strong revenue growth in Q3 and Q4 of 2022 and the gross margin expansion was the result of KULR’s long-term investment in our technology portfolio to complete our holistic approach to lithium-ion battery safety. As we gain more traction with large OEM customers, we expect revenue growth momentum to accelerate in 2023. Speaking of KULR’s long-term investment, we will be investing in our people, our infrastructure, our technology portfolio and our brand. Keith Cochran will update you on all the important milestones we have accomplished in building our team and infrastructure in North America. I am particularly proud of our ISO 9001 certification and the completion of the automated cell screening line for NASA Work Instruction 37 and other DoD customers. At the end of 2022, we had $3.19 million in equipment and properties compared to $375,000 in 2021. We have been working on onshoring our manufacturing capabilities in North America in ‘22. We had $3.5 million in equipment deposits at the end of ‘22 compared to $2.5 million in ‘21. We believe that we have done our heavy investments in capital equipment for us to solidly grow our business in 2023. At the end of year ‘22, we have $1.9 million in the inventory compared to $191,000 in 2021 and nearly a tenfold increase in inventory as we prepare for the revenue growth acceleration in 2023. In 2023, we are entering into the monetization phase of the investments we have made to build out our key technology platforms. We introduced an all-new margin energy platform called KULR ONE at this year’s CES. KULR ONE is a family of revolutionary battery packs, accelerating the global transition to a sustainable electrification economy. These new and innovative designs bring a combination of safety, performance, intelligence, modularity and reliability for the world’s most demanding applications. Since the launch of the product in January, KULR ONE has half a dozen development engagements with electrical vehicles, DoD applications, electric aviation and charging infrastructure customers. We expect KULR ONE to have the revenue opportunity of over $200 million by 2026. KULR ONE design solutions is the suite of products and services that comprise of a holistic approach to battery safety. This approach that we adopted from the NASA methodology and design flow to address some of the most critical battery safety pumps. It starts from deep analysis of the battery cell from the time it’s made, understanding how it behaves when it goes into thermal runway through the FTRC test that take all that data and design the battery pack. It runs through thermal and mechanical analysis before building and testing the battery pack. It provides real-time monitoring analysis through CellCheck. And our safe case suite of products, enable large-format batteries to be stored, transported and recycled safety. Embedded in this process is a lot of proprietary IP patents and know-hows that we gained over the last 10 years. That includes 12 granted patents and many more pending patents. Energy storage is by far the largest market opportunity for us. This market is to reach over $400 billion by 2030. We believe our solution is the fundamental enabling technology that makes sure batteries are safe and compliant with government regulations. Our energy storage customers include Lockheed Martin for Phase 2 battery testing, ISC testing for the largest automotive manufacturer in the U.S., and safe case production orders for top tier power to manufacturers. We expect to achieve over $100 million in revenue for KULR ONE design solutions over the next 3 years as we continue to gain traction with large OEM customers and their products begin to ramp in volume. I am very excited about the next phase of our technology and product development to integrate all these functions together with AI-powered software and solutions. Our CellCheck technology provides a real-time monitoring on battery to provide state of health data to our customers. We have recently acquired KULR VIBE, which is a software technology that identifies, eliminates vibration related loss of energy in motors. So by incorporating KULR VIBE into our suite of tools, we will provide the capabilities for efficient energy source and energy usage. The features they integrate AI tools, such as GPT in our engineering flow to increase productivity and also into KULR ONE design solutions to provide more intelligence and data analysis capabilities. Next, Keith Cochran will provide operational updates. Keith, please?
Keith Cochran: Thank you, Michael. Appreciate that. Hello, everyone and thank you for joining our call today. 2022 has been an incredible year for KULR. So, let’s take a look back at some important milestones that leave us very well positioned for our future. In Q1, we shared with you Dr. William Walker, former NASA Johnson Space Center senior leader in thermal analysis, was hired as Director of Engineering to build out our suite of battery thermal management and safety products as well as our next-generation high-performance computing thermal management initiatives. It became quickly apparent that Dr. Walker should take the helm of our technological vision and was moved into the CTO role. He and his team have delivered on the initial charter, but rapidly expanded the KULR capabilities to include advanced offerings such as FTRC, which is fractional thermal runaway calorimetry, bomb calorimetry and multiphysics modeling. Additionally, with the strategic hires of former NASA battery engineers, the team was able to develop and deliver at CES this January, our first KULR ONE battery. The product is highly configurable with a broad range of applications from e-bikes, eVTOLs, CubeSat and much more. We are now engaged in development work with multiple customers with the goal of delivering in volume starting in the second half of this year. Also in Q1, we noted our impact by COVID lockdowns in China. At that time, we said we were moving quickly to reduce supply chain risk. We delivered on that commitment in Q2 ‘22 by moving our safe case and safe sleeve production to Mexico. While we still have some risk remaining in China, we now have a dual source for our TRS manufacturing materials in Mexico. Furthermore, we have placed on order fully automated equipment for our TRS manufacturing that is scheduled for delivery this June. The equipment will be put into operation in the U.S. during Q3 of ‘23 as we seek to provide even more stability to the supply chain and significantly reduce our risk to China exposure. As we moved into Q2, our focus remains strong on operational excellence. Accordingly, the team worked very closely to achieve ISO 9001 certification. The ought I found zero non-conformances demonstrating KULR’s dedication in the pursuit of manufacturing excellence and operational controls. This was a significant milestone delivered by our entire organization. As noted in Q2 call, KULR continued to expand our workforce in the area of sales, supply chain and engineering. The hires have been critical to delivering the growth in our service offerings as well, the increase in our customer engagements. Moving on to Q3, I share we have begun to install our automated lithium ion 18650 and 21700 battery cell testing capability, which meets the performance required in a of National Work Construction 37 and that KULR would have the only fully end-to-end automated test system capable of meeting or Construction 37. This system allows for volume testing of battery cells required for all man emissions by NASA and many other DoD branches. We can be indicated on the call. The system would launch operations in December and KULR would begin shipping fully tested cells in January ‘23. While our system was fully operational in January, we did incur a slight delay due to final permitting. Accordingly, the team completed the first fully screened calls in February and had delivered them to NASA, the first week of March. This was a major milestone delivered by our dedicated ops organization. KULR also announced in Q3 the introduction of KULR VIBE. We are very pleased to say the response has been extremely positive. KULR previously announced, we have signed a long-term service agreement to support a major helicopter operation. We have also had numerous favorable engagements with the Marine Corps industrial drone operators and commercial flight operators. We are very pleased with the progress the team has made to develop a significant sales funnel and align customer demonstrations for the superior balancing and vibration reduction technology. We do expect to see numerous new customer wins very soon. Moving on to Q4. The focus remained on operational efficiency, the delivery of the various platforms and services noted previously and the start-up of our Texas facilities for advanced testing of battery cells and pack development. We are pleased to say that both locations in Texas are fully operational and have already begun to contribute to coolers top line growth. We have also continued to hire strategic personnel, specifically in the area of battery technology. KULR currently has 72 employees and has been able to attract and retain our strategic hires. With that said, our hiring in ‘23 will slow to a fuse strategic engineering hires and replacement hires as we are moving our team to focus on the top line growth of the company for the platforms developed over the past 2 years. We are currently well staffed to deliver ‘23, and we have a plan for only minor capital outlays this year compared to the last two. We stand well poised to deliver our FY ‘23 vision. At this moment, I would like to say a big thank you to our employees, their dedication and enthusiasm for where KULR is going is simply incredible. I also want to recognize our valued shareholders, we appreciate you. While I know the current market is tough, KULR has positioned the company for solid growth and has delivered on the vision presented as far back as Q2 ‘21 with multiple platform developments deployed. These developments to capital investment in time but they have also now delivered and are poised for significant top line growth in ‘23. Our KULR team is committed to delivering for you. Thank you. I will now turn the call over to Simon Westbrook, who will share KULR’s financial highlights. Simon?
Simon Westbrook: This is Simon Westbrook, CFO. We reported revenue of $1.8 million in the current quarter compared to $766,000 in the quarter ended December 31, 2021, that was an increase of 137% as a result of increased product shipments following the improvement in our supply constraint issues. Selling, general and admin expenses increased to $4.5 million in the fourth quarter of 2022 from $3.8 million in the corresponding quarter of 2021. The 16% increase in SG&A expenses was due to additional marketing and advertising expenses, consulting fees and non-cash stock-based compensation expense paid to employees and consultants as well as the expansion and kicking out of new production facilities. R&D expenses increased 68% from $705,000 in the fourth quarter of 2021 to $1.2 million in the fourth quarter of 2022, reflecting a combination of headcount and new and automated test and production equipment, continuing our investment in in-house manufacturing and assembly facilities that was begun in the last quarter of 2021. Our loss from operations decreased by 0.6% from just over $4 million in the fourth quarter of 2021 to $3.9 million in the fourth quarter of the current year. The $25,000 increase in the operating loss included an increase in revenue, offset by increases in payroll and research and development projects. Our net loss decreased by 9%, just over $4 million in the fourth quarter of 2021 to $4.4 million in the fourth quarter of this year. And our net loss per share for the fourth quarter of 2022 was $0.04 compared to $0.06 for the comparable period in 2021. Finance-related costs increased by $411,000 largely due to [indiscernible] in prepaid advances. On the cash side, at December 31, 2022, the company reported cash balances of $10.3 million compared with $14.9 million as of December 31 last year. Taking into account our capacity to draw further advances under the terms of Vascepa, we believe they are well positioned to expand operations support new business and consolidate our manufacturing operations in the U.S. to ensure greater control over logistics in the face of continuing worldwide uncertainties. Thank you. And now I’ll turn the call back to Michael.
Michael Mo: Thank you, Simon. Stuart, I’ll turn the call to you for – to answer questions by our analysts.
A - Stuart Smith: Alright. Very good. As stated at the beginning of the call, we’re joined by several different analysts, and I will let the members of the KULR management team decide which one of them will answer each question. With that, let me first introduce Howard Halpern from Taglich Brothers. Howard, the call is now yours. You have a few questions for the company.
Howard Halpern: Thank you. And congratulations, great building of the momentum for this year and into next. I do want to clarify what I think I heard on the call. You said over the next 3 years, you anticipate generating cumulatively $100 million in revenue?
Michael Mo: Yes. This is – Howard, this is Michael Mo. Yes, this is our aspiration for the KULR ONE platform. With the – what we think is the current engagement and future engagement could be for this product as we start launching them. We think that $200 million in – by 2026 is our aspiration.
Howard Halpern: Okay. And in terms of – if you could just, I guess, give an example with VIBE and this just brand-new customer you have, how long does it take to materialize? And then how long is it going to take to deploy it across their whole fleet?
Keith Cochran: Yes, hey, I’ll take that one, Michael. So with our current customer, we’ve actually already deployed that across the entire fleet. So that particular customer that we announced has a universal system for track and balance in their helicopters. And so our technology was already completely ready to support their entire fleet.
Howard Halpern: And are you seeing that with similar customers that it will be a very quick deployment? Or is it just depends on the customer on how complex their systems or...
Keith Cochran: For the major helicopter deployments that are out there, there is really just a handful of what I would call base helicopters that are used in mass service. And for all of those particular helicopters, we already have our solutions in place to support them 100%. You have to understand one thing about most of these helicopter services the hardware that they use already have sensors in place so they can provide data rapidly to us, of which we will take that data we provide, and we will be able to help them eliminate their vibrations and improve their track imbalance.
Howard Halpern: Okay. And just, I guess, one last one because you have so many different platforms to sell to different types of customers. Is there any one that we should focus on as being the big driver for at least for this current fiscal year?
Keith Cochran: So I would say...
Michael Mo: Yes, Keith, maybe I’ll take this one, and you can kind of add on top of that. So I would think the KULR ONE design solutions package power, I think that’s what is gaining the most traction for 2023. This is where we see a lot of momentum, including some of the customer announcements that we recently have, so that’s incorporating all the capabilities into that solutions package. And the showcase product of that package is KULR ONE, the unit, that one we announced in CES – and like Keith and I talked about, we already have many customer engagements on this. So that second half 2023 leading to 2024 by KULR VIBE is actually kind of in parallel track on this one. So – but yes, yes. And when you get into, I think, later half of the year, as all these platforms start getting traction, especially in the e-mobility like eVTOL customers, high-performance e-mobility customers. We see opportunity to cross-sell and upsell KULR VIBE into those customers who are already using our battery solution. And then the drivetrain for that will be motors and to make the entire system more efficient, that those will be higher value engagement for us.
Howard Halpern: Okay, guys. Thanks, and keep up the great work.
Michael Mo: Yes. Thank you, Howard. Appreciate it.
Stuart Smith: Alright. Thank you, Howard. Now we will move on to Theodore O’Neill from Litchfield Hills Research. Theodore, are you with us?
Theodore O’Neill: Yes and congratulations on the good quarter.
Michael Mo: Thank you.
Theodore O’Neill: Yes. So, on the 13th, you announced the opening of an R&D center in Webster, Texas, it’s going to be outfitted with state-of-the-art prototyping equipment, and that leads me to three questions. One, could you talk about the demand you are seeing for prototypes and how these fit within the sales process? And when you do get production type orders like the $2.68 million you got last month, where will production runs occur?
Keith Cochran: Yes. Hey Michael, I will take that one, and thanks for the question. So, the demand for prototype battery systems is huge given the push for electrification across many industries. And supporting the development of these systems under the umbrella of our K1 design services is one of the major focuses of our engineers. And it’s going to facilitate the internal growth projections that we have for ‘23 and to a much larger scale in ‘24, based on the projections Michael has already shared with you. And we are already engaged in prototype designs for high reliability battery packs for companies in automotive, defense, aviation, energy storage and space markets. So, we are also in collaboration with the major car manufacturer, some large retailers and marine vessels as well as energy storage and body mobility applications, all looking for our K1 design services. There is a tremendous amount of interest in the engineering team that we have been able to assemble and the capabilities that team has brought to the table.
Theodore O’Neill: Great. And when you do get production orders, where are those going to get built?
Keith Cochran: Well, it depends upon the size of the order. So, if it’s a small lot tight order, that would actually be built within our own laboratories. If it’s a large order in mass production, we intend to outsource the production.
Theodore O’Neill: Okay. And following up on that $2.68 million order, the press release says it’s partly about heavy construction and other mobile applications. Is this product being designed specifically for electric power construction equipment?
Michael Mo: No, not…
Keith Cochran: Yes. It’s not specifically just for that. We can also support critical systems, including medical equipment, emergency services, financial institutions that need backup power data centers, etcetera.
Theodore O’Neill: Okay. And my last question is, I went on to the website to try to understand how KULR VIBE works. And I wanted to know a little more about it. Is it a combination of sensors and voltage or current modulation software that controls motors, or is this something else?
Keith Cochran: Not really. KULR VIBE is a multifaceted platform and it can serve many industries and the technology can balance and remove vibration from pretty much almost anything that spins. For Helos [ph], for example, those sensors are already in place as part of the track and balance system that’s on board. So, we just used the information already coming from those sensors. When we have other products or technology that we need to remove vibrations from or improve the track imbalance. We also have our own sensors that we are able to use in those environments, along with our software to be able to perform the anti-vibration and balancing of those products.
Theodore O’Neill: Does that mean you have to add – so I understand the sensors, and I understand in some cases, the sensors are already there for obviously, for stabilizing how the product sits in the air, but does that mean that there is other components that have to get added as well beyond sensors?
Keith Cochran: Early the sensors, but in certain applications, we will actually build fixtures for our customers. So, we are able to not only perform the track and balance of that. We are able to use in certain cases, lasers, for example, to remove materials. We are able to show them exact placement of where rates should be placed in order to balance the system, and we can do that with a visual representation for them. The product certainly in the helicopter business is very straightforward for us. In other businesses, it can be more complex, but we have the team inside that can build the hardware and put – place the sensors properly. So, we are able to do the adjustments. And what we are trying to get down to is 0.0x steps of vibration.
Theodore O’Neill: Okay. Great. Thanks very much.
Michael Mo: So yes, Ted, if I may add on top of that, what Keith is saying, I think a lot of people want to dig deeper into KULR VIBE. So, I think that it’s fair to say that KULR VIBE will work with existing equipment and sensors and stuff like that, that’s already built into some of the helicopters and applications that Keith just talked about. But what’s also more exciting is that going forward, new applications like EV too that’s coming online, 2025, 2026, industrial applications like wind farm and other applications. There is opportunity to develop very low-cost sensor to be embedded into these new applications and then embed our KULR VIBE software onto the vehicle itself either integrated into the computer that’s on board or KULR VIBE can fit inside our KULR ONE battery unit to do the monitoring as well. So, we see an opportunity going forward where the KULR ONE becomes the power source and the intelligence unit of these vehicles and then by become the sensor part of it, and they work together to give you the maximum benefit for keeping the batteries cool and safe as well as keeping the rotors and the motors running smooth and more energy efficient, then that will be really cool package.
Theodore O’Neill: Okay. That makes sense. Thank you.
Stuart Smith: Alright. Thank you. We are going to be joined now by Jake Sekelsky. Jake is with Alliance Global Partners. Jake, are you with us?
Jake Sekelsky: Yes. Hey Michael and team. Thanks for taking my questions.
Michael Mo: Hi Jake.
Jake Sekelsky: So just looking at the on-shoring of your supply chain, which I think is important in looking at the facility in Texas. There has been a lot of government funding across the battery supply chain that’s becoming available. Are there any programs either out there around the horizon that you think KULR might qualify for down the road?
Michael Mo: Yes. This is something that, frankly, we haven’t put a lot of focus on in 2022, but we are putting a lot more focus on in 2023 and going forward. A couple of programs, I mean I think the biggest one is the Bipartisan Infrastructure bill. I think is somewhere around $350 billion. So, there is multiple phases. I know last year, a bunch of companies got sizable chunks of that. Now, we have our domestic North America supply chain in place. I think that we can start that initiative in applying for that government financing or funding source. There is also additional DOE, ARPA and DoD financing available. So, as we really start showcasing the North America, the U.S. supply chain and manufacturing base, we will be very actively going after those government support.
Keith Cochran: Yes. Just to add to that, we are currently engaged with three third part based that specialized in being able to get those opportunities out of the DOE and some of this government funding that’s freed up now. So, we have been working with them now for about the last month on different opportunities and narrowing down the list that we are going to pursue. Each of those opportunities take quite a bit of engineering hours to be able to address that and put them through the system, but there is solid money behind that. So, we are trying to make sure that we put our best proposals out there. But yes, it is on our radar and it is something that we are working on.
Jake Sekelsky: Okay. That’s good to hear. And then just looking at the $2.7 million follow-on order you announced earlier in Q1, it seems like demand from that customer is starting to ramp up a bit. Do you have any visibility on what demand might look like in the second half or going into 2024? Is it possible you see additional follow-on orders here later this year or next?
Michael Mo: Yes. I will say that we don’t want to steal the thunder from certain customers. So, I will let them speak for themselves. But I think just as with this customer and others, it takes quite a while to design, test and certify these systems and compliant with come into regulations, you have certifications and hope it. Once it’s designed in, I think that the stickiness is very high and it’s going to be a long cycle product to run its life. So, I would not be surprised that we will have follow-on offers for second half of this year. And it’s definitely one of those products that has a lot of market acceptance and then we have high exploration or high hope. And the customer has very high hope for their product.
Jake Sekelsky: Fair enough. Okay. That’s all for me. Thanks again guys.
Stuart Smith: Alright. Thank you, Theodore and Jake. Thank you, Michael and Keith for handling these questions. And of course, thank you for all who have joined us on the call today that does conclude this call. So at this time, we will ask the operator to end the call, and thank you so much once again.
Michael Mo: Appreciate everyone. Thank you.
Keith Cochran: Thank you.
Operator: Thank you. This does conclude today’s conference call and webcast. You may disconnect at this time and have a wonderful day. Thank you for your participation.